Operator: Good morning. And welcome to the Investors Real Estate Trust Third Quarter Fiscal 2015 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please also note that today’s event is being recorded. I would now like to turn the conference call over to Ms. Cindy Bradehoft, Investors Real Estate Trust Director of Investor Relations. Please go ahead.
Cindy Bradehoft: Thank you. IRET’s Form 10-Q was filed with the Securities and Exchange Commission yesterday after the close, and our earnings release and supplemental disclosure package was posted to our website at iret.com and also furnished yesterday on Form 8-K. Before we begin our remarks this morning, I want to remind you that during the call we will be making forward-looking statements, which are predictions, projections, or other statements, about future events. These statements are based on current expectations and assumptions that are subject to risk and uncertainties. Actual results may materially differ because of factors discussed in yesterday's Form 10-Q and the comments made during this conference call, and in the Risk Factors section of our annual and quarterly reports and other filings with the Securities and Exchange Commission. Investors Real Estate Trust does not undertake any duty to update forward-looking statements. With me today from management are Tim Mihalick, IRET’s President and Chief Executive Officer; Ted Holmes, Executive Vice President and Chief Financial Officer; and Diane Bryantt, Executive Vice President and Chief Operating Officer. I would now like to turn the call over to Tim Mihalick.
Tim Mihalick: Thank you, Cindy, and good morning, everyone. I am excited to speak to you this morning about IRET accomplishing a strategic goal of AFFO dividend coverage that I have scheduled. When we established this goal in the summer of 2013, our anticipated coverage to be reached by the end of fiscal year 2015, now we have maintained coverage of the last two quarters and the trailing 12 months, I want to take a moment and thank those that have helped IRET achieve this goal. I have said this before as I never get tired of repeating it, IRET employees from the leasing agents and the maintenance staff, the HR Department and up to the top are second to none. They are committed as employees of IRET to work on behalf of our shareholders and I would like to compliment them for doing that work everyday. Their diligence and hard work is what has allowed IRET to accomplish this goal ahead of schedule. Their commitment gives me assurance that we will be able to maintain coverage in the quarters ahead. On January 23, I announced a significant change in our strategic plan. I had previously alerted the market of our intent to exit the retail segment of our portfolio in fiscal year 2016. But after examining the strong demand for office properties, I announced the plan to accelerate that segment of our portfolio as well. I'm very confident as we complete a significant change, we will have a stronger balance sheet that will be easier for analysts and investors to understand. Diane will provide an update on where we are at in this process later in the call. Our long and proven track record speaks to the abilities of this management team to perform. I believe this team is positioned for continued success and as it relates to that, I am proud to announce the following changes within my executive team. Mike Bosch, will continue on as General Counsel and serve a Secretary of IRET. Diane Bryantt has been appointed Chief Operating Officer. Her experience as CFO will be a positive for overall operations. Mark Reiling has been appointed Chief Investment Officer. Mark’s depth of knowledge in the investment world, including acquisitions and development will allow IRET to continue its growth pattern as we have previously discussed. And finally, Ted Holmes has been appointed to Chief Financial Officer. Ted has experience in a debt and capital markets, and will be of great benefit as we continue to restructure our balance sheet. Before I move on, I would like to comment on the succession plan that was in place. For the start of fiscal year 2015, I undertook the task of working with my team to establish a succession plan in -- a succession plan in case of senior team member exited IRET. As was evidenced by the seamless transition that occurred here at IRET, you can rest assure that this team has the right people in the right places and is committed to creating value for our shareholders. Before I turn the call over to Diane and Ted, I want to take a moment and touch on IRET’s exposure in the energy markets in which we operate. I know recent publications of all the stories about the doom and gloom around the slide in oil prices and the impact that it had on rental housing. You are obviously curious to what affect this drop in oil prices has had on IRET and I would like Diane update you on some of specifics later in the call, but I wanted to remind you that we did not pivot the portfolio on Boomtown USA, better known as well as the North Dakota. But we have strategic joint ventures to maximize our returns in Williston. Of the wealth of information about the Bakken field, I will encourage you to search out the Bakken magazine to get a true perspective of the activities in Williston. That being said, I want to call your attention to this map of North Dakota. As you can see, the statistics provided by the North Dakota Department of Mineral Resources and the latest issue of the Bakken Magazine gives you an indication of the breakeven price point at which new drilling would cease. Mackenzie County in the heart of the Bakken would need prices to drop to $30 per barrel to cease new drilling. And although, I think, that is an interesting statistic, what I find even more interesting is the ballpoint which states the price at which production from existing wells would be shut-in $15 per barrel. According to a report published by the North Dakota State Industrial Commission, dated December of 2014, there are approximate 12,000 wells in production. Since I have been told that can take upwards of three people to maintain production, I believe the need for housing will continue. Most of the production workers are target tenants. Those are committed for longer-term and seek amenities that our complexes provide. We will continue to monitor energy impact on IRET and adjust our decisions accordingly. But as Diane will point out later in the call, the impact to IRET has not as drastic as has been suggested by some of the national attention we have received. Remember we have five projects, three multifamily and two medical facilities underway on a Minneapolis market despite our risks throughout the upper Midwest. Thank you. And I will now turn the call over to Ted Holmes.
Ted Holmes: Thank you, Tim. Good morning everyone. IRET had another solid quarter with FFO of $0.17 per share for the third quarter ending January 31, 2015, which repeated the strong performance from the second quarter ending October 31, 2014 and up from $0.14 per share, reported two quarters ago. We are also excited that AFFO was reported at $0.15 per share for the third quarter ending January 31, 2015 versus $0.11 per share for the comparative period one year ago. Looking back four quarters of AFFO performance, we have now covered our current dividend distribution one quarter ahead of our previously discussed timing. While significant, we realized that ultimately management’s focus should be our continued efforts on our FFO growth strategy which can then translate into strengthening AFFO. With that in mind, we firmly believe our decision to explore the sale of our office and retail portfolios, if successful, should provide more predictable income stream and allow IRET to deploy its resources into less capital intensive property segments, further enhancing company value and the predictability of FFO and AFFO results. As for the quarter performance reflected in our income statement, let me point out a few highlights. Total revenue for the nine months ending January 31, 2015 were $212.4 million or 6.6% higher than the comparative period one year ago. Total revenue for the company for the three-month ending period January 31, 2015 was $73 million or again 6.6% higher than the previous quarter ending October 31, 2014. Clearly, the pace of our successful delivery of development projects and our continued improving performance in our multifamily and healthcare operations are having an increasingly weighted positive impact on total revenue for the company. As for expenses, if we remove non-cash impairment amortization related to non-real estate investments, depreciation and amortization, and our TRS expenses related to one asset, total expenses remaining which really translate to real estate operations was 4.7% of total assets for the nine-month period ending January 31, 2015 consistent with the same ratio of 4.7% to total assets for the comparative nine-month period ending January 31, 2014 one year ago. This is testimony to the company demonstrating growth but maintaining its expense ratios as a whole. We are excited about these trends on our income statement. Diane will touch on specific expense category variations in her remarks as detailed in the management discussion section of the 10-Q filing. I also want to point out during the quarter the company did take an impairment loss of $540,000 relating to two unimproved parcels of land bringing total impairment for the nine months ending January 31, 2015 to $6.1 million. As for the balance sheet, cash on hand was $52.1 million as of January 31, 2015 as compared to $47.3 million at the beginning of the fiscal year. In addition to continued strong cash flow from operations, during the first three fiscal quarters of the year, we have raised approximately $39 million through our dividend reinvestment program using the drift waiver and IRET direct features. This equity together with our use of sale proceeds and our line of credit availability which stood at $39.5 million at quarter end should provide sufficient liquidity for the uses we have identified for the company moving into fiscal 2016. Our earnings 8-K release does provide liquidity profile summary of potential sources and uses. As of January 31, total liabilities and mortgages payable, each as a percentage of total assets saw no material change from that which was reported at the end of the fiscal year period, April 30, 2014. In addition, overall the company saw no material change to its leverage metrics. We did see slight improvement in our debt-to-EBITDA ratio down to approximately 6.5 times as we again see continued improvement in net operating income for the company as a whole. Our debt policy remains consistent. We are fixing our debt interest rates long on assets we intend to hold long-term and using variable rate debt on a select basis on assets we intend to sell or reposition. Worth noting in the balance sheet, the other liabilities category has increased through the fiscal year, as this classification includes advances on our construction loans to help fund our development pipeline. We don’t foresee any material change in our overall leverage levels for the company moving into fiscal ’16, provided however, depending on the eventual outcome of our potential office and retail segments sales and pending resolution of our CMBS loan in special servicing, discussed on previous calls, which I will touch on in a moment. Our target levels of debt could be reduced modestly and this certainly is an objective of management over time. During the quarter, we closed three loans totaling $66.2 million. The majority of this was a $51 million construction loan for our 71 France development in Edina, Minnesota, with one of our stronger banking relationships. Our weighted average interest rate during the quarter fell to 5.17%, 9 basis points lower than the previous quarter and interest rate for the company. We continue to enjoy a favorable debt market and while recent increases in treasury yields may impact future borrowing costs, debt markets continue to be robust, offering attractive debt structures, which we are optimistic we may continue to help maintain and potentially reduce interest costs for the company as a whole. Our debt maturities remain manageable in the coming fiscal years and in some cases, provide an opportunity to reduce interest costs and access pent-up equity after long periods of amortization. We do have one large CMBS loan maturing in fiscal 2017, we have discussed on previous calls, which include as collateral, eight commercial assets we impaired in fiscal 2014. These assets maintain a high level of occupancy, exceeding 90% and the loan associated with these assets is current and cash flow is currently adequate to service the loan before any capital improvements, commissions or tenant improvements. The loan has been transferred to a special servicer and we are engaged in discussions with the servicer on various options regarding the loan. The loan is non-recourse to our subsidiary entity, subject only to industry-standard carve-out guarantees by both the borrower as well as IRET. IRET can make no assurances about any possible outcomes of any discussions with the servicer. As mentioned in previous calls, we continue to review the effect on the company if these assets and the loan associated with them were removed from the portfolio, which could include the conveyance of the assets to the lender pursuant to the loan terms. Upon reviewed at quarter end, subtraction of this portfolio in its entirety is again most likely neutral on our metrics. We will continue to monitor this group of assets closely, as we pursue discussions with the servicer in advance of the loan maturing on October of 2016. In conclusion, IRET has strengthening quarterly results and is excited to see the continued completion and delivery of our development pipeline and company focused on the asset classes we think can have the most beneficial impact for our shareholders that being multi-family and healthcare. Finally, I'm pleased to report that the IRET Board of Trustees declared a quarterly distribution of $0.13 per common share and unit to be paid April 1, 2015 to the shareholders of record on March 16, 2015. This will be IRET’s 176th consecutive quarterly distribution. Thank you. And I would now like to turn the call over to Diane Bryantt, Executive Vice President and Chief Operating Officer.
Diane Bryantt: Thank you, Ted and good morning everyone. I will be addressing key areas of operations and the transactions to the balance sheet, including developments, acquisitions, dispositions, same-store results and our overall investment strategy, starting with our development, acquisition and disposition activity in the quarter. As we have discussed over the past couple of years, we determined that we had opportunity to provide growth and create value by delving into our market. We are very pleased with the events in the third quarter of fully delivering five projects to the market, placing a $103 million of assets to work. More of these projects are multi-family, consisting of 592 units and one 5,000 square foot single tenant retail facility. Year-to-date total development placed in service is a $113 million. These multi-family assets placed in service in the quarter are in various phases of lease-up given the timing of delivery in the quarter. Currently occupancy rates are ranging from 30% at our Arcata Apartments that just opened in January to 85% at the Commons that was completed in December 2014. Market rents are at or are exceeding pro forma and we are looking forward to the positive contribution to revenue in the fourth quarter. Still in the pipeline to be delivered is 269 million of property within the next three quarters, which represents an additional 955 units of multi-family, a 130,000 square feet of healthcare, and 203,000 square feet of industrial space. Underwriting cap rates on these projects are ranging from 6% to 13%. Although we did not acquire any income producing assets in the quarter, we do have under contract to purchase 24.3 million of multi-family assets with underwriting cap rates estimated to be at 6.5%, this bringing a total of 293 million of new income producing assets to the balance sheet within the next three quarters. Regarding our pending dispositions and our disposition strategy overall, on January 23rd we did announce the expiration of disposition of our office and retail segments. The proceeds from sales of these segments will help meet the objectives of growth into our multi-family, healthcare and industrial segments. We have signed with CBRE a listing agreement that covers approximately 2.5 million square feet of office properties and 1 million square feet of retail properties. The offering was announced by CBRE in mid February and offering materials have been released. More detailed information is being finalized and will be released to qualified bidders as the marketing process continues. Subsequent to quarter end, we did close on the disposition of three commercial properties totaling 86,000 square feet and outside of those properties listed with CBRE, we currently have under contract for sales approximately 500,000 square feet of office properties for total sales price of $34.5 million and estimated cash out of $20.7 million. Again, proceeds from these sales will be used to support the strategic objectives of continued additional investment in multi-family, healthcare, and industrial, as well as paydown outstanding debt, including our line of credit and evaluating the call of a preferred stock. Moving to operating results. Details can be found in our same and non-same-store results starting on page 36 to 42 in Form 10-Q that was filed yesterday, so I will touch briefly only on the highlights of each segments to provide a bit more color. First, let’s cover non-same-store results by all segments, as this is primarily driven by new developments and acquisitions placed into service over the past two comparative periods. For the three and nine months ending January 31st, non-same-store revenue increased by 85% to 89% over the comparative prior periods. NOI for non-same-store will be more predictable once these properties operate in a stabilized mode. However, we are very pleased with the performance of these new assets in making an immediate impact once delivered to the market. Let’s move on to multi-family. We continue with high occupancy at 94% in our same-store properties and this is allowing for opportunity to continue to increase rental rates. For the comparative three and nine months periods, same-store revenue was $862,000 and $2.3 million higher, as compared to the prior periods. It is not typical to see much activity in our markets for lease-up in the months of November to January, but occupancy increased by 2% as compared to the prior period year. We are pleased to see that the growth in occupancy and the cold this month in our markets. As expected, we did see growth in same-store expenses as compared to periods. If you recall in the third quarter of last year, we highlighted the effect of the real estate tax credit in the State of North Dakota that have a favorable impact of $877,000. And particular for same-store multifamily this credit was $615,000. Although, the tax credit was still in place for calendar 2014, tax in municipalities provided for substantial increased assessed valuations in fiscal ’15 on these same properties and accordingly real estate taxes increased. Going forward, we’ll monitor what will be going on in our legislature regarding tax credits for calendar 2015. However, if we’re able to continue to increase rents and maintain our acceptable property expense ratio of revenue in the range of 30% to -- 35% to 40% range, we will still meet desired levels of return. Regarding office, with the announcement to sell and a desire to sell the statement, we are still continuing to operate business as usual. Occupancy in this segment stayed consistent for both comparative periods at 84%. Not a lot of change in same-store results due to operations. However, quarter results were impacted by reduction to revenue related to the non-cash item of straight line rent. Without a lot of new leasing activity and less concessions in free rents that associated with new leases, the burn-off of this non-cash receivable will have the effect of lowering revenue. Overall, for the Office segment, we will continue to lease and operate in a manner to create additional value as we go down to sales path. Our Healthcare segment continued to operate at high levels occupancy at 96%, with no significant change in results of operations in our same-store property. Notable to the quarter is a recognition of percentage rents related to the senior housing facility. This amount was $1.2 million, which is $238,000 higher than received in fiscal 2014. Our Retail and Industrial segments are our two smallest segments whose same-store results provided for no material change from prior comparable periods for me to comment on. The asset from Retail segment had been announced in prior years and like Office, we will continue to lease and operate in a manner to create value. The current Industrial portfolio consists of seven assets with a total square footage of 1.2 million with one project underdevelopment with the total square footage of 203,000. Lastly, I’m going to discuss our limited exposure to the energy impacted in markets and revisit our overall investment strategy. As Tim stated, we are all reading about the potential impact to IRET relative to the drop in oil prices. But, we are all aware and cannot predict a future in this volatile market we want to reiterate that management and the Board at IRET do understand a risk, but also in the reward to investing into a boom. Our investment in the heart of the Bakken is in Williston, North Dakota. The company over the past two years has participated with a joint venture partner to build 433 units and IRET on its own built a 44 unit complex for a total in that market of 477 units. This only represents 4.9% of our total multifamily units of 11,575 units. In particular to these projects in development, we are not seeing any material change in occupancy, rents or concessions being applied over the past quarter for these properties that are fully developed. These fully developed properties are still operating at occupancy levels at 96% to 100%. Lease-up on the most recently delivered units are meeting our pro forma projection. Our commercial leasing related to the oil industry is in Minot, North Dakota at three facilities and are on long-term triple net leases with tenants such as Hess, IPS and Enbridge. It is true that we have seen positive impact in our stronger markets for the Bakken due to the energy boom. We still believe there is opportunity and demand for our products. Our disciplined underwriting approach, our understanding and presence in these markets gives us ability to continue to meet or exceed our initial investment objectives. Overall, we are going to remain true to our investment strategy when choosing our markets in our geographic footprint. These markets have the following characteristics. They have regional healthcare systems, they have university and colleges, direct access to major transportation, and they have regional retail and entertainment facilities. These all would be intend to have a viable path to market leadership in these markets. In closing, we are very pleased with our efforts to bring our developments to markets. We are executing on our property sales and we will continue to stay disciplined in our investment approach going forward, as we redeploy proceeds and continue with the effort to deliver and timely deliver our pipeline of 293 million of new assets. With that, I will now turn the call over to Tim Mihalick.
Tim Mihalick: Thanks, Diane. And I will ask the moderator to accept questions.
Operator: [Operator Instructions] And our first question comes from Dave Rodgers from Baird. Please go ahead with your question.
Dave Rodgers: Yes. Good morning. Maybe Diane, I’ll start with you. A question on multi-family occupancy. I mean, you finished the quarter at 94, which was up year-over-year, but down I think sequentially 150, 160 basis points. So just wanted to dive a little bit more into that, and is that mostly seasonal? And then maybe a second part to that occupancy question, flipping over to concessions, can you kind of talk about the absolute level of concessions that you are offering in terms of either months free or any move-in specials with regard to Dakota Commons, Renaissance Heights especially in the energy impacted corridor?
Tim Mihalick: Dave, we are going to have to touch on that for you.
Dave Rodgers: Sure.
Ted Holmes: Sure. Good morning, Dave. Well, maybe I’ll take the second half first. Just with respect to the projects themselves and concessions if I -- I guess I’d refer you to page 19 of the Q. And if you run down by project the Commons at Southgate, we are about -- we are 90-plus percent occupied there. Going down to Cypress Court, 90% occupied plus. In fact, we’ve locked in our long-term debt on that project. Red 20, coming off the winter, we are roughly 80% occupied now. Arcata, that project again just came online in January, we are 30% occupied there. These are some tough times of year to lease in the Midwest, you can imagine through December, January and February. So we are pleased with the lease-up in these projects so far. Renaissance Heights, roughly 60% occupied today, Chateau is just being completed in June, so really no material leasing there. And then Deer Ridge, Cardinal point, and France, so those leasing activities will begin this year of this spring full force, but really no leasing there yet, as those projects aren’t near completion. As far as concessions, the company as a whole runs rate now round figure about $100,000 a month. I think that was maybe December and January’s trend for concessions across the multi-family portfolio. I would tell you just with the discussion about energy, roughly $4000 of that total was in Minot and Williston. So really no material concessions at this point in those markets, and I’ll tell you in Minneapolis/St. Paul the same is true. Really no confessions at any of our lease-up locally here so far, and we are actually at or exceeding our pro forma rents. The company, as a whole, we will see a seasonal dip in the winter months, but certainly we feel pretty pleased with where we are at with our multi-family occupancy as a whole.
Dave Rodgers: Okay. And are you seeing any pressure on shorter length of lease term for residential? What is your average length, particularly in Minot and in Williston and the energy impacted areas and getting a sense of any change in kind of consumer behavior?
Ted Holmes: Well, I wouldn’t be able to quote you a length of months here on this call. I can certainly follow up with that and get that. But I'll tell you that we will go down to a six month lease in certain situations, but most of the time it is a nine or 12 month lease that we are targeting both in Minneapolis/St. Paul, in all of our markets for that matter, and in the energy impacted markets. So it's really a nine or 12 month lease that we are going for.
Dave Rodgers: Okay. That’s good. And then I guess maybe final on the energy would be, you do have some additional land out there, any of that additional land exposed in the energy corridors? And I guess I’d tie that into your comment on taking a modest impairment on a couple of land parcels in the quarter, change in holding, change in plans and anything impacting from energy there?
Ted Holmes: Well. I think we’ve taken a pretty measured approach here with respect to our strategy in Williston specifically. And we do have two other parcels that we purchased with the existing Renaissance Heights development parcel that’s been constructed on, that will be complete later this year. We have the ability to add potentially another roughly 500 units, should we choose to do that. That is not in process at this point. This is early. We think in this energy is downturn with respect to the price of oil. That will find its own equilibrium like as Diane pointed out, we’ve got joint ventures in that market. We’ve been out there for now over three years with our measured pace of development. And at this point don’t foresee any additional construction, but we will wait and see how our Renaissance Heights project leases up this year. And we have banked land in all of our markets and we’ve represented that and that’s pointed out in our filings, anywhere from St. Cloud to Rochester to Monticello, I mean we’ve got parcel shovel ready, should we choose to attack another wave of development. But that’s still in discussion and we’d certainly like to deliver for you and others and our shareholders what's in the pipeline currently, before we take on additional large waves of developments.
Tim Mihalick: Dave, I will ask Diane to give you a quick update on the impairments you reflected.
Dave Rodgers: Great. Thanks.
Diane Bryantt: Hey, Dave, this is impairment -- the land -- one, was a parcel next to Western Retail that we recently sold and closed on. So it was just the parcel land that was been held for future developments. I believe we have seen that market and so we took a look at the land what’s remaining and put that in a -- broke that down to fair value and put that in a position for sales. And the other piece of land was in Eagan, Minnesota, directly next to a commercial office building that we would be also looking to dispose off. So this was -- we actually have an offer to purchase that land and so again, this was just a mark to fair value. So those two pieces of land, nothing to do with the energy impact market, but just overall strategy of geographic footprint and segment types.
Dave Rodgers: Great. Last for me would be on the dispositions. Looks like you have a little over $50 million to close, either this quarter or into the part of the next fiscal year under contract. Can you talk about, kind of the overall cap rate on expected sales of the combined assets either separately or together?
Ted Holmes: Dave, this is Ted. I would say the cap rate on this is going to vary because of the occupancy in some of these buildings isn’t as -- I’d pick one of the assets as an office assets Downtown, Minneapolis and that particular buyer has a redevelopment plan for that asset, is not going to use it specifically for office. So, cap rate maybe not applicable. But I think with respect to the other office assets that are well occupied, you are going to see rate around at 8% to 8.5% cap rate on those sales.
Dave Rodgers: Okay. Yes. Thanks for all the color. Really appreciate it.
Tim Mihalick: Yes. Thanks, Dave.
Operator: Our next question comes from Craig Kucera from Wunderlich Securities. Please go ahead with your question.
Craig Kucera: Yes. Hi. Good morning, guys.
Tim Mihalick: Good morning, Craig.
Craig Kucera: Your liquidity looks pretty good closing out third quarter. You continued to issue a lot of stocks in the drift. Obviously, the stock has come in about 15%, from where we were through most of the second quarter. Is there any way that you can slow that down, or do you have a thought on kind of how to manage that process when your stock price has come in so much in the last several months?
Tim Mihalick: Craig, this is Tim. As we’ve looked at that, we’ve recognized that same challenge and we’ll -- was under consideration. With the proceeds that will be coming forth on the sales and there is certainly something we will examine. And especially as you indicated with the dropdown in the share price, it is not something we want to give away. So, we will understand and take a look at that.
Craig Kucera: Okay. And with -- obviously the change in oil prices and your markets are -- the number of energy centers, have you seen any delay in new projects starting or any shift in supply in some of those markets or most of your competition continuing to keep their foot on the accelerator?
Tim Mihalick: No. I think, again, we’ve seen some pullback and some decisions on whether or not they want to move forward. I think we’ll continue to see that. We’ve talked about in the past having our boots on the ground. It really helped us understand the need in those markets. And I suspect that we’ll move forward maybe over the next 12 to 24 months. The buying opportunities that we thought may come from other developers will come to fruition but that’s an opinion that I have and one that I think that it could happen. But there is some slow down. It’s a pull back from other investors.
Craig Kucera: Got it. And I know you mentioned that your development yields are anywhere from 6 to 13 and you are typically running ahead of expectations. Can you put a number on how far you are running ahead of expectations and maybe sort of where the current averages on your projects under currently everywhere?
Tim Mihalick: Ted will take it.
Ted Holmes: Greg, this is Ted. I would tell you we’re going to average when you smooth it out across all of the developments. We’re going to be right around at 8% return across the spectrum. I think it's probably a good -- and I think we pointed that out before. But it’s going to vary from energy impacted all the way down to Minneapolis-Saint Paul where you’re going to really be tight on the low end of that scale as far as return. As far as the timing of these projects, if I understood your question correctly, I mean, we’re basically on track. We’re little bit behind on a couple projects but we are coming in at budget really with no material overages on these projects at this point. So we're optimistic we continue to deliver this on the balance sheet with the returns that we think are commensurate with the risks.
Craig Kucera: Got it. And is that -- looking at your anticipated constructions complete to date in the supplement, not a lot of change from last quarter, in fact, if you actually -- looks like they pulled forward maybe a quarter or so. How is the winter event there and is that likely to slow things down or are you sort of speaking currently, you don't expect things to really move around from what’s in a supplement?
Tim Mihalick: We’ve had a really, really mild winter here, Greg. So that's really been helpful. So I think the timing that you see in the queue on those projects is still very much on track.
Craig Kucera: Okay. Great. I’ll get back in the queue.
Operator: [Operator Instructions] Our next question comes from Carol Kemple from Hilliard Lyons. Please go ahead with your question.
Carol Kemple: Good morning.
Tim Mihalick: Hi Carol.
Ted Holmes: Good morning Carol.
Carol Kemple: Hi. Have you all got any initial feedback at this point for the portfolios that you’ve just put on the market?
Tim Mihalick: I think to this date we have not really got any feedback from interested buyers. Certainly a lot of information has been delivered. And we’re probably two to three weeks away from having complete packages out in the market. So at this point, no.
Carol Kemple: So at this point, you have a date when you want all the bids to be in, buyers are just -- is that still up in the air?
Tim Mihalick: I think timeline wise Carol, probably looking at late fall by the time when full transaction will potentially be complete, assuming we move down the road, what we laid out for ourselves. It’s probably into that September, October, November timeframe.
Carol Kemple: Okay. Thank you.
Tim Mihalick: Thanks.
Operator: [Operator Instructions] Ladies and gentlemen, at this time, I’m showing no additional questions. I’d like to turn the conference call back over for any closing remarks.
Tim Mihalick: Thank you. Again this is Tim Mihalick with closing remarks and to say thank you for taking time out of your morning to listen in on the update to IRET. We’re very excited about the performance of these first few quarters of fiscal year 2015 and look forward to the future. As I stated earlier, we’ve got a strong team in place from top to bottom and we all have the best interest of our shareholders at heart. And we are excited about what we can deliver in these markets and to take advantage of the opportunities that are in front of us. Thank you for listening in and for your time.
Operator: Ladies and gentlemen, that does conclude today's conference call. We do thank you for attending. You may now disconnect your telephone lines.